Operator: Welcome to Century Casinos Q1 2015 Earnings Conference Call. This call will be recorded. At this time all participants are in a listen-only mode. Later we will conduct a question-and-answer session. I would like to introduce our host for today's call, Mr. Peter Hoetzinger. Mr. Hoetzinger, you may begin.
Peter Hoetzinger: Thank you, operator and welcome everyone to our first quarter 2015 earnings conference call. Joining me on the call today are my Co-CEO and Chairman of the Company, Erwin Haitzmann; as well as our Executive Vice President of Finance, Margaret Stapleton. Before we begin, I need to remind you that in our remarks today we will be discussing forward-looking information, which involves a number of risks and uncertainties that may cause actual results to differ materially from our forward-looking statements. The company undertakes no obligation to update or revise the forward-looking statements, whether as a result of new information, future events or otherwise. We provide a detailed discussion of the various risk factors in our SEC filings and encourage you to review these filings. In addition, throughout our call, we may refer to several non-GAAP financial measures, including but not limited to adjusted EBITDA. Reconciliations of our non-GAAP performance and liquidity measures to the appropriate GAAP measures can be found in our news release from this morning and in the 10-Q filings, which is available in the Investor Section of our website at cnty.com. I will now comment on the results. What a great quarter, what a great start into 2015. Congratulations to the entire Century Casinos team for delivering an excellent performance at pretty much all properties and at all levels. Our ongoing focus on enhancing operating efficiencies and maintaining disciplined approach to marketing pays off very well. We've all seen the results, there are a few highlights; adjusted EBITDA up 72%, net earnings up 262%, $0.08 earnings per share which is 4X more than a year ago. EBITDA margins at our largest casinos, Century Casino and Hotel Edmonton at a record 41%. Adjusted EBITDA up 71% and 64% at our two properties in Colorado, adjusted EBITDA in Poland almost tripled. Results generated by each region or segment as part of our total consolidated results are as follows; Poland generated 45% of consolidated revenues and 28% of consolidated EBITDA. Canada right the other way around, generated 28% of revenues and 46% of EBITDA. And our operations in the U.S. contributed 22% of revenues and 23% of EBITDA. The balance sheet is clean, strong and in very good shape. As of March 31, 2015, it showed net debt of $15.8 million adjusted on onetime trailing 12-month EBITDA, and this even includes non-cash type of $15.4 million related to a long term land lease for Century Downs in Calgary. In the quarter, excluding construction spending for Century Downs, total CapEx was $625,000, up 2% of revenues, mostly spend on capital project at Edmonton, Canada, and our new slot machines at our property in Central City at Colorado. Our strongest performer in the quarter yet again, was the Century Casino and Hotel Edmonton, in local currency, Edmonton showed 13% revenue growth, 29% EBITDA growth and the record EBITDA margin of 41%. Most of the growth was generated at the gaming tables, specifically back around trips where a drop in revenue were up over 30%. This is our largest property with 762 gaming machines and 35 gaming tables. Our second property in Canada, the Century Casino Calgary, also had a great quarter and grew net operating revenue by 21% in local currency. EBITDA more than tripled, and EBITDA margin was a very solid 26%. The growth was broad based, take a revenue, slot revenue, and food and beverage revenue all showed nice increases. At both properties in Canada we continue to market and grow the player's club royalty program and to specifically focus on growing table games revenue. In Colorado, the rebound of both casinos continued. Net operating revenue at the Century Casino and Hotel in Central City was up 5%, EBITDA up 71%. In Cripple Creek, revenues were up 5% too, EBITDA was up 64%. This was the third quarter in a row with EBITDA growth for both Colorado properties. We continue to see improvement in every segment of our database, as well as our retail customers and we see growth in both visitation and spend per trip. So far the second quarter started out in similar fashion and both properties are continuing to gain market share. The revenue generated by the cruise ship casinos in Aruba was down 2% year-over-year. Our team is busy with all preparations to install Casinos on three more ships in the coming month. Demand [ph] from Three Cruises and the Star Breeze and Star Legend from Windstar Cruises are scheduled to start operations in the second quarter with casinos operated by us. The highlight in this segment was the deals we managed to do with Norwegian cruise line, to change from the current casino confession agreement for Oceanic Cruises and another in sales subsidiary reach on 70 cruises to a confined agreement for all ships of those two lines with an additional $4 million upfront bonus payment coming to us next month in June. Now from one highlight to another, turning to Poland, great quarter for our Casinos Poland. In local currency, revenues up 33%, EBITDA almost tripled, up 185%, the EBITDA margin at 14%. Everything was up, table games revenue increased 35% driven by strong VIP play, slot revenue increased 39%, food and beverage revenue increased 22%. We had 99 more slots on the floor as well as nine efficient table games compared to a year ago and we also spend more on marketing, especially the Warsaw and Crossland. Player loyalty programs have been introduced at most locations with very positive feedback from our customers. In the second quarter we had finalized the upgrade of the VIP room at the casino at the Marriot Hotel in Warsaw which is the largest and the most successful casino in Poland. We also plan to increase slot capacity by further 5% to 10% throughout 2015. Following this brief review of operations which contributed to the first quarter results, let me now give you a quick update about our newest projects. The Century Downs Racetrack and Casino at Calgary is now fully operational. The casino opened on April 1, and the racetracks three weeks later on April 25. The then premium for Alberta is the Chief Brathes [ph] attended the opening. However, earlier this week, a new government renewed [indiscernible] in Alberta and we shall see if that brings any changes to the Casino and Horse Racing industry in the province. Also speaking at opening and very much supporting the project, whether Chairperson feel go up the cabin and leak information, Mr. Susan Green, and the CEO of Horse Racing Alberta, Mr. Sherlyn MacLennan. We are very excited about the initial restarts of the casino and the feedback we received from our customers and the community. As previously reported, total project costs are expected to come in just below $25 million. Century Downs is the only worst racetrack in Calgary. The Racing Entertainment Center includes a casino with 550 slots, as well as food and beverage and off-track betting facilities. We believe this is a great project in a location that offers huge potential in the years to come. It is just north of Calgary, adjacent to the successful CrossIron Mills, regional shopping mall that attract 20 million visitors annually, it has direct off-line access from the major highway connecting Calgary and Edmonton which is the biggest highway in Western Canada. Hence it is ideally positioned to capture the markets of north and northwest Calgary, both of which do not have a casino. Also in Alberta, our new 75% on subsidiary Century Bets started to operate the very neutral off-track betting network on May 4. They have agreements with close to 100 racetracks throughout North America and also worldwide for the sourcing of common pool very neutral wagering content. And they have contracts with 15 off-track betting parlors in Southern Alberta. We are providing very neutral content and like media to there. In return, we retained a handle from all bets placed on horse races, minus commissions, seasoned expenses. Importantly, this project has claimed to and further diversify our business portfolio and will grow our operating results while expectantly generating an attractive return on investor capital for our stockholders. Let me conclude the presentation by saying that we are very pleased with our overall progress, but we are never done. There is always room for improvement, always a way to do things better and more efficiently. I thank you for your attention, and we can now start the question-and-answer session. Operator, go ahead please.
Operator: Your first question comes from the line of Robert Magic of CJS Securities. Your line is open.
Robert Magic: Good morning, and congrats on the quarter.
Peter Hoetzinger: Thanks, Robert.
Robert Magic: On the Resino [ph], and I understand it's only been one month but can you give us an update on whether you are meeting or exceeding your initial expectations?
Peter Hoetzinger: The casino opened on April 1 to huge crowds and we had wonderful first week. And overall we are absolutely meeting our expectations, that weekends are very busy when the racing is going on and we certainly see that the overall drastic is fantastic with the racing, so both products, the casino and the racing complemented each other and benefit each other.
Robert Magic: That's great to hear. And could you give us some more color on any changes in the competitive landscape in Colorado and what is driving your share gains there?
Peter Hoetzinger: There is no news in terms of new entrants. The Riviera and Black Hawk is increasing capacity to construction site at the moment to certain extent, it is a very competitive market but no new entrants. And just in the case, typically that there are few quarters where gain market share, and there might be an aggressive competitor taking away little bit of market share. But we see the overall trends, not only for our properties but for all three gaming towns in Colorado is rather positive, it keeps the momentum that it has started mid of last year, and our organization is now streamlined and efficient enough to fully take advantage of the increases in revenue even though they are - they might only be single digit, we can bring over proportionally high amounts to the EBITDA and bottom lines.
Robert Magic: That's helpful. And as you did last quarter, can you give us an update on trends and falls for the second quarter?
Peter Hoetzinger: Come again, please?
Robert Magic: As you did last quarter, can you give us an update on trends in Poland for the second quarter?
Peter Hoetzinger: Poland, as you know from the history, the second and the third quarter are typically the slower periods in Poland as the weather gets nice and warmer. And the casino business is going down slightly, so Q4 and Q1 are typically the stronger quarters. We are entering that seasonal, we are also seeing some volatility because quite a significant portion of our performance depends on VIP play which we can only influence to a certain extent. So it's a little bit too early to say in terms of the second quarter because on the one or two weeks can change a lot. But overall, the business is good, the properties are in good shape, and we look forward to getting more into the second quarter to be able to get a better view on the outcome.
Robert Magic: I appreciate the detail, thank you.
Peter Hoetzinger: Thanks, Robert.
Operator: Your next question comes from the line of Alex Christensen of Craig-Hallum Capital. Your line is open.
Alex Christensen: Congratulations on the quarter, I had a couple of other questions regarding Poland, first off, I was wondering what you're seeing in terms of Russian Play coming into Poland, I know that you've mentioned in the past that it can be significant and with the volatility coming in that Russian economy, just wondering what you're seeing there, as well as how the progress on closing out the unlicensed gameplay outside of your casinos is going? Thanks.
Peter Hoetzinger: It did not have any significant VIP play from Russians in Q1. So that very good result was generated pretty much without that. But we had VIP play from other parts of Europe and the Middle East. The closing of the slot machine parlors is continuing, every now and then we hear about some entities but it's - so far it's not a significant issue, it hasn't really changed over the last two months. So on December 31, at the end of this year, we should see all those street machines and slots outside of casinos eliminated, we are giving upfront, we have already increased our slot capacity and we further increase by another 5% to 10% before the end of the year. And slot play also significant contributor to the increased revenue, so we already see it happening that we are benefiting from that legal situation.
Alex Christensen: Okay, that's great. And then just one follow-up on Canada and specifically, since it's down, I know you guys are still ramping up there, but it sounds like you're also - from a margin perspective, that should be accretive to your Canada segment but I was just wondering if we could get a feel for how you see those two different dynamics playing out and when that accretive part is going to start outweighing the ramp up?
Peter Hoetzinger: Well, it's a high level answer before I turn over it over to Erwin. I would say that the rent up typically takes out two quarters to fine tune the operational side and also get the topline right. But it should be accretive pretty much from day one. Erwin, anything to add?
Erwin Haitzmann: No, I think that sums it up brilliant. I think it's accretive now already.
Alex Christensen: Great, thank you guys and look forward to talking again next quarter.
Peter Hoetzinger: Thanks.
Operator: Your next question comes from the line of Brian Meyer of Brain Capital [ph]. Your line is open.
Unidentified Analyst: Good morning, Peter, really good to see margins heading higher, long time coming but I think investors will be appreciative. Can you - have you guys done an analysis on what the strong dollar impact was on your EBITDA in the quarter?
Peter Hoetzinger: On the consolidated basis, Ted, do you have that number?
Unidentified Company Representative: No, we really don't - we look at each operation in their local currency. So it does impact - the strong U.S. dollar has impacted negatively our EBITDA but I don't really have a number of what that is. Brian, if you want to call me later, I can get it for you.
Unidentified Analyst: Yes, I will. Just - when we see Poland revenues in local currency is up 33%, one's got to believe that impact on your U.S. EBITDA was probably fairly material. Also, and maybe I missed this but it seems like you're not reporting as opposed to on a property level basis, is that correct or can we find the property stuff somewhere else?
Peter Hoetzinger: Yes, we've posted a presentation on our website that goes into more detail about each property we've done that in advance for this call.
Unidentified Analyst: Okay, but are you planning a shift towards regional presentation as opposed to individuals or we just need to go to website to get that info.
Peter Hoetzinger: Yes, probably - we are probably planning a shift.
Unidentified Analyst: Okay. And do you have a win per slot per day number for Century Downs in your first month, just so we can build our models off of something or would you suggest just going with the Alberta average for now?
Erwin Haitzmann: Yes, hi, this is Erwin. I think - you're on the safe side if you go within further average and we don't exclude that we might end up higher.
Unidentified Analyst: Okay, great. And then lastly, Peter, I know you're constantly scavering [ph] the world for new opportunities, is there anything that's catching your eye at this point and then I'll hand off to the next person.
Peter Hoetzinger: Yes, couple of things has caught my eye. But we are not yet…
Unidentified Analyst: But not going to elaborate?
Peter Hoetzinger: Or that catch your eye, right.
Unidentified Analyst: Alright, thanks a lot Peter.
Peter Hoetzinger: Thanks.
Operator: There are no further questions.